Analysts : Adam Thalhimer – BB&T Capital Markets Alex Rygiel – FBR Capital Markets & Co. John Rogers – D. A. Davidson & Co. Jordan Teramo – Brigade Capital Analyst for Simon Leopold – Morgan Keegan & Company, Inc. Alan Mitrani – Sylvan Lake Asset Management
Operator: Welcome to the Dycom results conference call. At this time all lines are in a listen only mode. Later, there will be a question and answer session and instructions will be given at that time. (Operator Instructions) As a reminder, today’s call is being recorded. At this time I’d like to turn the conference over to Mr. Steven Nielsen, please go ahead sir.
Steven E. Nielsen : I’d like to thank you for attending our four quarter fiscal 2009 Dycom results conference call. During the call we will be referring to a slide presentation which can be found on our website www.DycomInd.com, under the heading investors and subheading event details. Relevant slides will be identified by number throughout our presentation. Going to Slide One, today we have on the call Tim Estes, our Chief Operating Officer; Drew DeFerrari, our Chief Financial Officer and Rick Vilsoet, our general counsel. Now, I will turn the call over to Rick Vilsoet.
Richard B. Vilsoet : Turning to Slide Two, except for historical information statements made by company management during this call may be forward-looking and are made pursuant to the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on management’s current expectations, estimates and projections and involve known and unknown risks and uncertainties which may cause actual results to differ materially from forecasted results. These risks and uncertainties are more fully described in the company’s filings with the Securities & Exchange Commission. The company does not undertake to update any forward-looking information.
Steven E. Nielsen : Yesterday we issued a press release announcing our fourth quarter results. As you review this release it is important to note the following, during the fourth quarter fiscal 2008 we recorded a non-cash impairment charge resulting from the annual impairment testing of our goodwill as well as a number of FIN 48 tax related items. For clarity and to enable comparability between periods, my comments will be limited to results from continuing operations excluding these items. A reconciliation of the non-GAAP results to our GAAP results for the year ago period has been provided with our press release as well as on Slide 10. Moving to Slide Three, results of $0.17 per share for the fourth quarter were down from last year’s $0.23 per share result. Revenue increased sequentially by 4.6% to $269.7 million but declined year-over-year by 16.3% for the quarter reflecting customer reductions in near term capital spending plans. Volumes were mixed from telephone companies as some customers deployed capital for new network initiatives at a slowing pace and all customers tightly managed routine capital and maintenance expenditures. Construction spending by cable customers was slow while installation activity was mixed but increased towards the later part of the quarter. Margins increased sequentially by 100 basis points and improved by 225 basis points year-over-year. Cash flow from operations was strong reflecting stable days sales outstanding and we did not repurchase any of our common stock or senior subordinated notes. Going to Slide Four, during the quarter we experienced the effects of an overall economy which was not growing. Revenue from AT&T was down sequentially and down year-over-year. At $49.9 million or 18.5% of revenue, AT&T was our largest customer. Revenue from Verizon was $45.9 million. Verizon was Dycom’s second largest customer for the quarter at 17% of revenue. Revenue from Comcast was up sequentially and up year-over-year. Comcast was our third largest customer at $38.2 million or 14.2% of total revenue. CenturyLink which resulted from the merger of CenturyTel and Embarq was our fourth largest customer with revenues of $19.4 million or 7.2% of total revenue. Revenue from Time Warner Cable was down sequentially and year-over-year reflecting slowing upgrade activity and installation volumes. Time Warner Cable was our fifth largest customer at 6.8% of total revenue. All together, our top five customers represented 63.7% of revenue and were down 16.5% year-over-year. All other customers declined 15.9%. Now, moving to Slide Five, backlog at the end of the fourth quarter was $935 million versus $1.118 billion at the end of the third quarter, a decrease of approximately $183 million. Of this backlog approximately $582 million is expected to be completed in the next 12 months. During the quarter we continued to book new work and renew existing work. For [Dupnick] Communications a two year fiber construction contract in North and South Carolina, for Comcast, a three year extension to our underground facility locating contract for Houston Texas and a system maintenance project in Maryland, from Time Warner Cable a one year extension to our master installation contract for Southwest Ohio and a system upgrade in Massachusetts and for MetroCast a system upgrade in Connecticut. Headcount decreased during the quarter to 9,231 reflecting continued right sizing of our work force in a recessionary overall economy. Now, I will turn the call over to Drew for his financial review.
H. Andrew DeFerrari : As I discuss the financial results for the quarter, please note that there were several items that impacted our results for the prior year period that will be excluded from my comments. We have provided a reconciliation of these non-GAAP measures to the GAAP measures in the press release and also the appendix of the slide presentation for today’s call. Going to Slide Six of the presentation, contract revenues for the fourth quarter of 2009 were $269.7 million which was down 16.3% from last year’s Q4 revenue of $322.1million. This decline reflects the continued impact of customer reductions and near term capital spending plans. Income from continuing operations for the quarter was $6.7 million compared to non-GAAP income of $9.1 million in the fourth quarter of 2008. Fully diluted earnings per share for the quarter was $0.17 per share compared to non-GAAP income of $0.23 per share in Q4 ’08. The Q4 ’08 non-GAAP amounts exclude the adjusting items set forth in our GAAP reconciliation in the appendix to today’s slide presentation. Turning to Slide Seven, our cost of revenues decreased by 225 basis points as a percentage of revenues from the prior year fourth quarter. This reduction resulted from reduced fuel costs which declined 177 basis points as well as a number of other operational improvements during the period. General and administrative costs were down approximately $670,000 on a year-over-year basis. This declined resulted from reduced labor and professional fees in the current period. Offsetting these declines was an increase in stock compensation of approximately $550,000 primarily from our performance based rewards. Interest expense was slightly up from the non-GAAP interest expense in Q4 ’08 due to the higher overall borrowing costs in the current year. Our effective tax rate for the quarter came in higher than our expectations at just under 45% as we finalized our estimated tax requirements for fiscal 2009. On an annual non-GAAP basis our effective tax rate was 43.7%. However, as we look forward to fiscal 2010 we anticipate that our effective tax rate will be closer to 42% for the full year. Note that this rate is sensitive to a number of factors including our level of taxable earnings, the impact of items that are non-deductable for tax purposes, the mix of locations where our work is performed and other tax related variables. Now, turning to Slide Eight, we finished our fiscal year on a solid financial position with approximately $104.7 million of cash on hand. For the full year, cash increased by more than $82 million. During the quarter operating cash flows contributed $30.5 million. Based on average daily revenue in each period, days sales outstanding were 62 days, up one day from the end of Q3 ’09. Capital expenditures net of disposals remained low during the quarter at $4 million. As we look forward to fiscal 2010, we currently anticipate the capital expenditures net of disposals will range from $40 to $50 million for the full year. With our strong liquidity position, this range can be adjusted a necessary to address potential growth opportunities. We ended the quarter with no borrowings outstanding under our senior credit facility and $161.9 million of availability after providing for letters of credit related to our insurance program. Lastly, as we look ahead to next year, please note that fiscal 2010 will have a yearend date of July 31st and will include 53 weeks compared to the 52 week period for fiscal 2009. The extra week will fall in our fourth fiscal quarter which will have a total of 14 weeks of operations. Now, I will turn the call back to Steve.
Steven E. Nielsen : Going to Slide Nine, in summary, during the quarter we were challenged by a deteriorating economy yet continued to demonstrate strengths. First and foremost, we’ve maintained solid customer relationships throughout our markets, we continued to win projects and extend contracts at attractive pricing. In addition, as demand slowed we increased market share as our customers are consolidating vendor relationships. Secondly, the strength of those relationships and the value we can generate for our customers has allowed us to be at the forefront of evolving industry opportunities. The long term drivers of these opportunities are as strong as ever and in fact, may further strengthen. The government’s response to a weak economy includes increased funding for broad band initiatives and industry mergers and acquisitions activity may expand new technology deployments. Additionally, we remain encouraged that cable operators have begun to deploy a number of new technologies which will enable them to significantly increase the effective bandwidth of their networks and offer new products to consumers. Finally, we are strong financially, maintaining ample liquidity, a robust balance sheet and declining net debt, all of which positioned Dycom well to weather a difficult overall economic climate. As our industry continues to evolve, we believe our fundamental strengths will allow us to remain one of the best positioned firms in our industry able to exploit profitable growth opportunities. Finally, as we look ahead we expect flat to slightly down sequential revenue in our first quarter reflecting continued cautious spending by our customers and the completion of a pipeline project during the fourth quarter, margins in line with the July 2009 quarter with both of these developments expected to occur within the context of a slow or no growth economic environment. While the nation’s economy appears to be emerging from recession, we remain encouraged that our major customers possess significant financial strength and remain committed to multiyear capital spending initiatives. We have adjusted our business to address a poor economic environment and these adjustments have fortified our strong balance sheet and meaningfully increased our liquidity. We remain confident in our strategies, the prospects for our company, the capabilities of our able employees and the experience of our management team who have successfully managed through difficult economic times before. Now we will open the call for questions.
Operator: (Operator Instructions) Your first question Adam Thalhimer – BB&T Capital Markets.
Adam Thalhimer – BB&T Capital Markets: Wondering if you could just first off give us some additional color on the decline in the backlog, what caused that?
Steven E. Nielsen : Adam, as we’ve talked about it before, a number of our services businesses the contracts are annual and in fact have automatic renewal provisions that usually trigger in the fourth calendar quarter of the year so we just saw a bleed off on those contracts. We also, as we’ve talked about before, are going to go through a renewal cycle with the Verizon [FTTP] project. We’ve been through that a number of times before but that comes up in the fourth calendar quarter. So, from our perspective it’s really just a natural bleed down on the backlog based on those technical factors.
Adam Thalhimer – BB&T Capital Markets: Seasonally in Q1 it should bump back up?
Steven E. Nielsen : Well actually the way it works because we’re a off year for the fiscal year, it’s actually in our second quarter which ends in January of ’10 where you’ll see the auto renewal cycle kick in and the resolution of what we worked out with Verizon.
Adam Thalhimer – BB&T Capital Markets: Can you give us an update on stimulus?
Steven E. Nielsen : Yes, as the deadline for applications came at the end of last month we had a number of inbound calls from rural service providers. We provided documentation to a number of those that supported their stimulus applications. I think at this point they had a little trouble accepting all the applications, they’re working through that administratively and I expect that we will get some feedback towards the later part of September.
Adam Thalhimer – BB&T Capital Markets: AT&T talked about ramping up their cap ex in the back half of the calendar year, are you feeling the effects of that at all yet?
Steven E. Nielsen : Adam, the way we think about AT&T is that they’re a big company. We don’t work for them everywhere and we don’t do much in the way of wireless for them. We’re taking a cautious view to the back half of the year. Part of that capital spend may also be on the equipment line which s really a good indicator of how next year is going to look as they may rebuild inventory. But, at this point, the business is solid but we’re not seeing indications, at least in our footprint, of a significant spike up at this point.
Adam Thalhimer – BB&T Capital Markets: Lastly, you mentioned in your prepared remarks Steve that cable installations improved towards the latter half of the quarter. Is that a sustainable trend?
Steven E. Nielsen : I think all the cable operators talked about a challenging June quarter in terms of net adds although Comcast in particular felt like momentum improved for them in July and I think we can see that in our business. We are comfortable that as the economy starts feeling better that installation activities will pick up and as our primary customers also pick up their advertising, historically the third calendar quarter with the return to college activity is a pretty solid one in installations.
Operator: Your next question comes from Alex Rygiel – FBR Capital Markets & Co.
Alex Rygiel – FBR Capital Markets & Co.: Your gross margins in the quarter were very, very strong, should this be a level that we should feel confident can continue going forward in to 2010?
Steven E. Nielsen : Well, I think as we indicated with the directional comments for this October quarter that we feel comfortable that margins will be in line. You always work harder in a recession at running your business better and we’ve made a number of operational improvements that we think will be sustained. Now obviously, it is a tough economic climate so we’re going to be cautious about that but we’re running the business better now than we were six months or a year ago.
Alex Rygiel – FBR Capital Markets & Co.: Can you comment on your expectations for free cash flow generation in 2010?
Steven E. Nielsen : You know, we haven’t given any guidance for fiscal 2010 but absent acquisition activity or significant ramp up in organic growth it’s more than likely that we would be net/net at zero or net cash.
Alex Rygiel – FBR Capital Markets & Co.: You haven’t made a significant acquisition the last 2.5 years, where is your confidence level right now in regards to your current existing operating base and your comfort with adding acquisitions to that at this point in time?
Steven E. Nielsen : Well, we’ve done a number of acquisitions over the years. I’ve always said that coming out of a recession is a good time to be acquiring businesses so we’re looking at things that come through. They’ve got to fit with what we do and be balanced against the organic opportunities that also generally become more evident as you come out of a recession.
Alex Rygiel – FBR Capital Markets & Co.: Lastly, as it relates to your G&A expense it’s maintained a fairly high level despite the decline in revenue over the last 12 months. What’s your expectation going forward in to 2010 for G&A?
Steven E. Nielsen : We’ve always been careful in recessions to maintain our core management ranks, those are the folks that you rely on to handle growth and acquisitions so it’s somewhat of a similar pattern to what we’ve managed to before. We’ve also made some investments in process improvements where the improvements are showing up in gross margins but the investments are showing up in G&A. We’re more than happy to invest in G&A if we can get better at running the business.
Operator: Your next question comes from John Rogers – D. A. Davidson & Co.
John Rogers – D. A. Davidson & Co.: Steve, just in terms of the recovery that hopefully we’re going to see at some point, with your business what should we be thinking about and looking for here? Should we be thinking about housing market or is there a technology cycle or a product cycle that should be the big driver of the next wave or how do you think about that? Not so much 2010 but over the next couple of years.
Steven E. Nielsen : Here’s the way I think about it and I think you’ve highlighted a number of the factors. Number one, we’ve been in an environment where we’ve had an abysmal housing market now for a couple of years. I think on last quarters’ call we talked about it probably wasn’t going to get worse and it looks like it isn’t and it’s bottomed so we see that headwind abating. I don’t know that we’re going to see a 2005 real estate market any time soon but directionally we see that improving. That helps a number of things, that growth in the housing market refocuses customers on just maintaining the infrastructure they have as they have to process new orders and just deal with the obsolescence of the network that is just natural as time goes by so that’s the first thing. The second thing is that our cable installation business, because household formation has been down and housing has been down, all of our cable customers have talked on their calls that customer churn has been at historically low levels so their connect and reconnect activity has been down substantially. I think as the economy gets better I think churn kind of reverts more towards the mean so it doesn’t get any worse so that drives more activity. From a technology perspective certainly the stimulus, most of the projects that I’m familiar with that we have had conversations with have to get underway in ’10 but generally have two to three year cycles so certainly that stimulus tail will extend in to 2011.
John Rogers – D. A. Davidson & Co.: Just on the technology side, I mean that’s the rural?
Steven E. Nielsen : That’s the rural deployments and I think it also goes to your technology question John which is all the rural deployments that I’m familiar with have all been around deep fiber deployments. I think when the economy gets better the power of the secular trend it’s been over decades at this point of pushing fiber ever closer to the end user becomes more evident when the economy gets better. As people figure out ways to use more bandwidth they’ll need ways for carriers to supply it. Then, I think the other factor John that we’re looking at is as the world becomes more complex and our customers are in a more competitive environment with each other that we’re seeing more opportunities to grow organically through vendor consolidation and that’s not just something that happens once but that tends to happen over an extended period of time as the administrative ranks of our clients are streamlined and it’s easier for them to work with larger vendors.
John Rogers – D. A. Davidson & Co.: A couple of other just quick things, I apologize if I missed this, do you have the revenue breakdown between telecom, cable, utility line locating?
Steven E. Nielsen : Sure, Drew will handle that and then we’ll give you the balance of the top 10 customers.
H. Andrew DeFerrari : The breakdown on the telecom side is 47.8%, cable TV at 28.4%, utility locating is 18.1% and then the electrical and other is 5.7%. Then, to round out the top 10, [inaudible] Communications was number six at 5%, Windstream was at 4%, Quest was at 2.9%, ETC Canyon Pipeline was at 2.4% and then Cable Vision was number 10 at 1.4%.
John Rogers – D. A. Davidson & Co.: Drew you also said, I want to make sure I have this right, lower fuel prices added 177 basis points? Was that an add to gross margins?
H. Andrew DeFerrari : That’s correct, on a year-over-year basis.
John Rogers – D. A. Davidson & Co.: We should start to lap that in what your second fiscal quarter?
H. Andrew DeFerrari : I think that’s right John. Q1 of last year prices were still high and there was some disruption around some of the refineries that supply was a little bit short keeping the prices high last year in our October quarter.
Steven E. Nielsen : I think John that’s a good point that I’d want to emphasize, we’re pleased that fuel cost came in but I think what we’re more pleased is that we were able to grow gross margins above that fuel adder in a tough economy. I think that’s indicative of some of the operational initiatives that we’ve been working on now for the last 12 or 18 months.
Operator: Your next question comes from Jordan Teramo – Brigade Capital.
Jordan Teramo – Brigade Capital: Can you help me understand a little bit in terms of as it seems there will always be a maintenance level of wired line spending but general there is less and less focus on wired line spend and more on wireless. Are there any opportunities there or is that generally a headwind or challenge for you as wired line spend goes down and wireless goes up? Or, are you somehow involved in back haul or something like that that follows from the wireless spend?
Steven E. Nielsen : I think a couple of observations, the first thing is from a bandwidth perspective, a wired connection is still the preference right. So, we still see a technology driver as carriers deploy more and more fiber. The wired line spend that you see declining in many instances is around the maintenance of the existing copper network which is generally self performed for the most part by our clients. So, what may be an overall headwind with our perspective with a push towards deeper and deeper fiber deployment of the network is a good thing that we expect to continue. On the wireless side, we have not found direct wireless services all that attractive although, the second part of your question raised wireless back haul or cellular back haul and that’s arising because of 3G and 4G services that require much more robust connections between cell towers and the wired network. A number of the cable operators as well as the phone companies have made substantial commitments to bring fiber to towers. We were talking this morning kind of in aggregate across the country, across a number of cable operators and others we’re probably working on a couple thousand sites right now either in planning, engineering or actual construction. We see no reason that that doesn’t continue to accelerate as 4G services are really only getting started. So, we’re happy to play the wireless data theme through that portion of connecting antennas back to the wired network through fiber. Then I think lastly the deployment of more ubiquitous wireless data is actually help us improve our business in the way we communicate with technicians and manage them so that’s a good thing for us in our installation and locating business.
Operator: Your next question comes from Analyst for Simon Leopold – Morgan Keegan & Company, Inc.
Analyst for Simon Leopold – Morgan Keegan & Company, Inc.: You mentioned a couple of times about the urgency of fiber deployment and with respect to Verizon how are you adjusting your strategy as the [BIOS] spilled out accelerates in urban areas and perhaps flows outside the cities?
Steven E. Nielsen : Well, there’s a couple of things, Verizon has been very clear over the last four or five months that in their mind they’re going to be focused on the urban areas. We do do interior wiring of multiple dwelling units, multiple tenant units for Verizon including not only the engineering, construction and the actual interior installation so we think we’re well positioned to participate there. As I also mentioned on the last call something like 35% to 40% of the business that we currently provide to Verizon is in non directly influenced area by [BIOS]. So, it’s a number that we’re going to manage through. We actually think that there are still some opportunities there but it’s not a significant impact on the business going forward.
Analyst for Simon Leopold – Morgan Keegan & Company, Inc.: In the evolving area of vendor consolidation, what’s your perspective on the discussion around AT&T’s intention to consolidate their vendors in to defined domains? Is there any impact on your business directly or indirectly?
Steven E. Nielsen : At this point John I believe that initiative as best I can understand it from the outside is primarily related to equipment vendors so that they can create technology standards. That has not extended to services so we don’t see any impact at this point.
Analyst for Simon Leopold – Morgan Keegan & Company, Inc.: Finally, are you seeing any favorable or unfavorable changes in your recent contract renewal terms including pricing? Or, how about the approval process time frame?
Steven E. Nielsen : Well, I think in a recession things always take a little bit longer than they do when times are better. I think it is also a recession so to say that there are not price pressures around the margin would not be realistic but it’s not anything more than we have managed through or anticipated previously.
Operator: Your next question comes from Alan Mitrani – Sylvan Lake Asset Management.
Alan Mitrani – Sylvan Lake Asset Management: Were there any extra severance costs or other costs in the SG&A this quarter that you don’t expect to repeat?
H. Andrew DeFerrari : Alan, there was nothing material around severances. We talked about before work force goes up and work force comes down and the cost of sizing the work force appropriately for the available opportunities is just a cost of doing business from our perspective.
Alan Mitrani – Sylvan Lake Asset Management: Also, it sounds like you’re not expecting revenues to shoot up at least initially this coming year. I just want to remember, last year in the first quarter there was what $15 million of storm work?
H. Andrew DeFerrari : That’s correct. So, if you think about it directionally there’s some likelihood that organic revenue decline actually on a percentage basis improves this quarter when you back out that storm work.
Alan Mitrani – Sylvan Lake Asset Management: But in light of that it doesn’t seem like as you said, at lease for the rest of this calendar year, you sounded a little cautious on AT&T and next quarter you’re not expecting any growth so why is it then that cap ex is going to go up so much? So, maybe just talk about cap ex on a gross basis what you expect and then also speak a little bit more about SG&A.
H. Andrew DeFerrari : I think the way I have always seen recessions resolve themselves Alan is the second half hockey stick is just not generally the way our customers react to improving times. So, the fiscal ’10 results we think are more calendar ’10 driven. We have been very efficient in the way that we’ve deployed capital but we’re like other players in the economy, we have to upgrade equipment in a normal replacement cycle and I think we see more of that occurring in fiscal 2010 than we did in fiscal ’09. If there are a lot of other people that make the same decision we do, that will tell you the economy is on the mend right. Because that’s how recessions end and expansions begin, is when people start spending money. We see that as just a natural evolution. There are opportunities out there that we see for organic growth, although once again, I’m trying to think in my career the number of large organic growth opportunities that started in the last quarter of a calendar budget year and there aren’t a whole lot so I just don’t think it’s realistic to see things hockey sticking between now and the beginning of the year. But, as the economy recovers I think 2010 and ’11 and the stimulus I think all of those are moving in the same direction.
Alan Mitrani – Sylvan Lake Asset Management: Can you talk about the SG&A, I realize you want to invest and there are certain investments you are making that would show up on the SG&A line, in terms of costs the benefits show up on margin, can you just detail this? Because, unlike other companies, you guys actually have increased your SG&A ex stock-based comp this past year by about 1% in the face of declining revenues. When revenues decline 10% your SG&A is up ex stock-comp 1% and the year before your SG&A ran a few percentage points faster than your growth as well. So, I’m wondering when does the SG&A spend stop and maybe you can just detail a little more about where the money is going and what kind of benefits we could see from it?
H. Andrew DeFerrari : We’ve talked about number one, if you think the economy is going to get better the last thing you want to do is cut back on core management ranks that are going to handle that growth. Number two, in a difficult economy you’re going to focus spending around safety and insurance and doing the work with better quality and more efficiently. We’ve made some investments there both in consulting fees and other things. To the extent that we can spend G&A and improve gross margin I think we’d probably be happy to continue that for a long period of time. I don’t necessarily think about it as a onetime phenomena but I do think as the revenue growth returns that historically coming out of recession we have not grown SG&A as fast as revenues increased coming out of a recession.
Alan Mitrani – Sylvan Lake Asset Management: Drew, can you give us a sense of any sort of equipment sales or other income for the first quarter?
H. Andrew DeFerrari : It’s going to be a light quarter Alan, I think that’s why the gross in net cap ex are going to be much closer this year than they have in the past because we’re not going to sell as much.
Operator: At this time I’m showing no further questions in queue.
Steven E. Nielsen : We appreciate everybody’s participation on the call and we look forward to speaking to you after the conclusion of our first quarter. Thank you.
Operator: Ladies and gentlemen that does conclude our conference for today. Thanks for your participation and for using AT&T’s Executive Teleconference. You may now disconnect.